Operator: Thank you for standing by. My name is Kate, and I will be your conference operator today. At this time, I would like to welcome everyone to TOYO Co., Ltd. announces first half 2025 financial results. [Operator Instructions] I would now like to turn the call over to Crocker Coulson, Investor Relations. Please go ahead.
Crocker Coulson: Thanks so much, Kate. Hello, everyone. Thank you for joining us to review TOYO's 2025 first half results. This morning, TOYO posted both the earnings release and the related investor presentation to its website, and you can find that at investors.toyo-solar.com. With us on the call today, we have Mr. Junsei Ryu, TOYO's Founder and Chief Executive Officer. We also have Raymond Chung, TOYO's Chief Financial Officer; and Simon Shi. The senior management team is in New York today in advance of participating in the HCW conference today and tomorrow, and they will also be present at the RE+ Conference on September 10 and 11. After the prepared remarks are concluded, we're going to open up this call to your questions. But before we begin, I'd like to let you know that some statements in the teleconference are forward-looking within the meaning of federal securities laws. Although we believe these statements are reasonable, we can provide no assurance that they will prove to be accurate because they're prospective in nature. Actual results could differ materially from those we discuss today. We encourage you to review the most recent report on Form 6-K and other SEC filings for risk factors that could materially impact our results. As I mentioned, the earnings release is available on our website at investors.toyo-solar.com. With those formalities now out of the way, it's my great pleasure to turn this call over to Mr. Junsei Ryu, Chief Executive Officer. Ryu-san. Please go ahead.
Junsei Ryu: [Interpreted] Against the highly dynamic backdrop for the renewable energy sector marked by shifting tariff structures and evolving global supply chain, our team has executed with agility and precision. We have successfully adapted our sourcing and production strategy to maintain [indiscernible] Thank you. Last week, we announced the acquisition of the VSUN brand from our sister company, Vietnam Sun Energy Joint Stock Company, a strategic move to streamlined and unified TOYO's operations by bringing the VSUN brand fully under our umbrella. VSUN and TOYO have long operated as sister companies, not only through common control under our majority shareholder, Abalance Corporation, but also through deep ongoing business collaboration. This acquisition of the VSUN brand positions us to accelerate TOYO's growth and expansion to the next level. 2018, many of VSUN's branded solar modules have been delivered to the U.S. market, a testament to the brand's strong customer and success in utility scale development deployment, recognized by leading financial institutions and backed by insurance from [indiscernible], the VSUN brand strengthens TOYO's market credibility, reinforces customer confidence. Our new solar cell manufacturing facility in Ethiopia is now operating at a full 2 gigawatt capacity as we have commenced production for an additional 2 gigawatt capacity in Ethiopia, we remain on track to double that to 4 gigawatts by October 2025. This facility provides us with a compelling cost structure, state-of-the-art technology, abundant green power, and some of the lowest tariff rates available. It's expected that this trend will continue. In the United States, we have commenced trial production at our new module facility in the Houston metropolitan area, delivering on our made in U.S.A., for the USA strategy. Through our sister company, VSUN, we will leverage the newly acquired VSUN brand to build on VSUN long-standing relationships with many of North America's leading utility-scale developers. These partners are eager to deploy analysts that combine industry-leading performance with the benefits [indiscernible] Looking ahead, we will continue to work closely with our industry partners to migrate the key components to the U.S., wherever possible, further strengthening our supply chain and reinforcing our commitment to American manufacturing. I will now turn the call over to our CFO, Raymond Chung, to review our financial results.
Taewoo Chung: Thank you, Ryu-san. Okay, let me take over from here. Okay. In the first half of 2025, we delivered 1.6 gigawatts of solar cells, up from 985 megawatts in the same period last year. In terms of revenue, we generated approximately $139 million in the first half of 2025, which increased 0.7% from $138.1 million in the same period last year. The increase was due to the positive contribution of our new solar sales line in Ethiopia, which began in April 2025, serving U.S. and customers, and providing more attractive pricing and margin opportunities. Our cost of revenue was approximately $160 million for the first half of 2025, compared to $111.4 million for the same period last year. Gross profit margin was 16.6% for the first half of 2025, compared to 19.3% for the same period last year. The decrease was due to the increasing unit cost of raw materials. Total operating expenses increased 219.9% to approximately $30 million for the first half of 2025, from $4.2 million for the same period last year. Selling expenses were approximately $3 million for the first half of 2025, compared to $40,000 for the same period last year. The increase was attributable to higher sales commission from new customers. General and administrative expenses were approximately $11 million for the first half of 2025, compared to $3.8 million for the same period last year. The increase was primarily due to expenses related to managing new facilities in Houston and Ethiopia, as well as increased expenses associated with being a public company. Non-GAAP adjusted EBITDA of approximately $23 million for the first half of 2025, compared to $33 million for the same period last year, reflecting increasing in operating expenses and reduced sales volume to the U.S. market. As Vietnamese capacity was allocated to non-U.S. regions, while Ethiopia's operations only commenced in April 2025, as well as changes in fair value of contingent consideration payable related to earn-out shares. Net income attributable to our shareholders was approximately $4 million for the first half of 2025, compared to $19.6 million for the same period last year. Earnings per share, basic and diluted, were $0.10 compared to earnings per share, basic and diluted, of $0.48 for the same period last year. Turning to our balance sheet. As of June end 2025, we had a total of approximately $30 million in cash and current restricted cash, compared to $15.1 million as of December end 2024. As we move into second half of 2025 our priorities are clear. We are expanding solar cell production at our Ethiopian facility for the 4 gigawatts run rate, while strategically redirecting output from our Vietnam operations to a high-growth market that are not impacted by the elevated U.S. tariffs. In the U.S. we will take a measurable approach to expanding our module capacity, aligning that growth with the refinement of our sourcing strategy and disciplined allocation of investment. Even with recent shift in energy policy, we remain confident that solar is the fastest, the most cost-effective way to add capacity to the energy grid, and meet the increasing rise in electricity demand across the U.S., and other development countries. The cash flow generated from our facilities will give us the flexibility to fund this expansion from within. The launch of U.S. production also makes -- also marks the beginning of a strategic consolidation of the VSUN brand, sales channels and customer base into TOYO. This integration will create a streamlined unified organization capable of delivering the high-performance solar solution that utility scale customers expect. Geared with all these strategic initiatives for the full year of 2025, we expect to exceed our previous guidance of 3.5 gigawatt in solar cell shipment, projecting approximately 4.2 gigawatts to 4.4 gigawatts for the full year 2025. This is anticipated to drive revenue in the range of approximately $375 million to $400 million, with projected net income between approximately $39 million and $45 million. We look forward to sharing more on our strategy in the near future, as we believe it will meaningfully strengthen our financial profile and enhance the value we deliver to our shareholders. With that, we'll be happy to address your questions.
Operator: [Operator Instructions] Our first question comes from the line of Justin Smith with Maxim Group.
Justin Smith: Congratulations on the good quarter and first half of the year. My question was relating to gross profit margin you guys discussed. I saw that it briefly declined -- or very marginally declined year-over-year. But as the Ethiopia facility reaches scale and Houston production comes online, do you see any way where those gross margins start trending back higher up to where they were in the first half of '24? Or are some of these tariff-related costs sort of weighing on that and putting a cap on that?
Unknown Executive: Justin, thank you for the question. Yes, our gross margin decreased slightly for the first half of the year, mainly for two reasons. Number one, the blend of the product destination for our product shift earlier this year was changed from last year. Last year, over 80% actually were shipped to U.S., and for the first half of the year, we have only 44% going to U.S. And with the change of the product blend, our margin was slightly affected. Secondly, also because we were in the process of ramping up of the production in Ethiopia so the overall cost, the cost of the products, were still in the process of being refined. So that's why -- that's the two main reasons our gross margin is slightly slower -- sorry, lower than what it was last year. And going forward, with our efforts to refine our cost structure and sourcing strategy, we do hope to see our gross margin level to at least go back to the -- what it was last year, Justin.
Operator: [Operator Instructions] I will now turn the call back over to Junsei Ryu for closing remarks.
Crocker Coulson: So we want to thank you all for your time this morning. I know that the company is going to be visiting with a number of investors and analysts later this week. And happy to answer your questions in person. If anybody has any follow-up questions after the call, please reach out to Investor Relations, and we're happy to either get back to you, or schedule a meeting with management. This now concludes our call. Operator, thank you so much.